Operator: Ladies and gentlemen, thank you for standing by and welcome to the CBRE First Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. (Operator Instructions) As a reminder, today’s call will be recorded. And I would like to turn the conference over to our host, Steve Iaco with Investor Relations. Please go ahead, sir.
Steve Iaco: Thank you, and welcome to CBRE’s first quarter 2014 earnings conference call. About an hour ago, we issued a press release announcing our Q1 2014 financial results. This release is available on our homepage of our website at cbre.com. This conference call is being webcast and is available on the Investor Relations section of our website. Also available is a presentation slide deck, which you can use to follow along with the prepared remarks. An audio archive of the webcast and PDF version of the slide presentation will be posted on the website later today and a transcript of the call will be posted tomorrow. Please turn to the slide labeled forward-looking statements. This presentation contains statements that are forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These include statements regarding CBRE’s future growth momentum, operations, financial performance, business outlook and ability to successfully integrate businesses we have acquired with our existing operations. These statements should be considered to be estimates only and actual results may ultimately differ from these estimates. Except to the extent required by securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements you may hear today. For a full discussion of the risks and other factors that may impact any estimates that you may hear today, please refer to our first quarter earnings report filed on Form 8-K and our current Annual Report on Form 10-K, in particular, any discussion of risk factors and forward-looking statements, which are filed with the SEC and available at the SEC’s website, sec.gov. During the course of this presentation, we may make certain statements that refer to non-GAAP financial measures as defined by SEC regulations. As required by these regulations, we have provided reconciliations of those measures to what we believe are the most directly comparable GAAP measures, those reconciliations are going to be found within the appendix of this presentation. Please turn to Slide 3. Participating with me today are Bob Sulentic, our President and Chief Executive Officer; Jim Groch, our Chief Financial Officer; and Gil Borok, our Deputy Chief Financial Officer, who will join us for the Q&A period. Please turn to Slide 4, as I turn the call over to Bob.
Bob Sulentic: Thank you, Steve. CBRE had a very strong start to 2014 with excellent growth on the top and bottom lines as you have seen in our press release. These results reflect the ongoing investments we have made in professional talent and resources to further support our people in creating value for our clients. Jim will take you through the results in detail, but I will briefly hit a few highlights. First, we achieved significant growth in all three global regions. EMEA set a brisk pace with double-digit organic growth in every major business line. We were pleased to see activity pickup in Europe as investor and business confidence has improved in step with the recovering economies. In particular, we saw continued strength in the United Kingdom, where our efforts to diversify our business lines and accelerate growth continue to pay dividends. The acquisition of Norland Managed Services, which we will discuss in detail later, was a key contributor to our results in EMEA and supplemented strong organic growth across business lines in the region. We also sustained double-digit growth in the Americas, our largest business segment. This resulted from empowering our sector leading professionals with increasingly differentiated resources to expand our client base and grow market share. Our Asia-Pacific business also performed well in the first quarter. Despite continued occupier and investor caution, we generated 18% revenue growth in local currency fueled by property sales. However, like the past few quarters weakened currencies in the region served to temper our growth rate when translated into U.S. dollars. On the M&A front, after acquiring 11 companies in 2013, we completed two infill acquisitions in the first quarter of this year, one in the U.S., and one in Europe and have an active pipeline of attractive acquisition candidates. Please turn to Slide 5. We continue to benefit from the measured investments we are making to support our professionals as they work together to provide integrated service to our clients. This is central to our growth strategy and helped us build market share and enjoy strong growth in nearly all business lines. Occupier outsourcing revenue, which includes certain transaction revenue, increased 61% on a global basis. Even before the significant contributions from Norland, we achieved double-digit growth of 12% in this business line globally. Norland is included in our results for the first time following the completion of its acquisition in late December 2013. In terms of new business, Q1 2014 was one of our most active periods ever for new occupier outsourcing contracts and expansions. Global leasing revenue grew at a double-digit rate for the third consecutive quarter as we made additional gains in market share. All three regions showed strong growth led by EMEA. Global property sales revenue rose 27% reflecting an active global investment market and CBRE’s central role in facilitating cross-border capital flows. While revenue rose strongly in all regions, growth in EMEA was particularly robust. Growth in commercial mortgage brokerage revenue improved despite the decline as expected in lending activity with the U.S. government-sponsored enterprises or GSEs. This decline was more than offset by increased U.S. loan originations to other capital sources and sharply higher loan sales activity. All of this added up to robust financial performance, including growth of 26% in revenue and 56% in adjusted EPS. Needless to say, we are very pleased to deliver this kind of growth to our shareholders and we thank our people for their hard work in bringing about such a positive outcome. Now, I will turn the call over to Jim for a more in-depth review of the quarter.
Jim Groch: Thank you, Bob. Before we move from Slide #5, I would like to highlight that 58% of our revenue this quarter came from contractual sources, mostly from Global Corporate Services, which is our occupier outsourcing business and from Asset Services. Adding leasing, which is largely recurring and you encompass 80% of the $1.9 billion total revenue for the quarter. This reflects the material shift in our business mix over the last several years as we have moved toward a more comprehensive mix of integrated services for our clients. To understand this shift, it is important to know that the buying pattern for large multinational clients has changed materially over the last several years. By example, in connection with the typical new large contract, we often onboard hundreds of client’s in-house real estate professionals from across the globe. Previously, these employees of such clients would have engaged dozens of smaller real estate service providers, including brokerage firms, facility managers, project managers and consultants on an as needed basis. Today, they will contract with us typically under a five-year agreement. They count on CBRE to manage their real estate activities globally in a much more strategic and cost effective way. As the global leader in each of our lines of business, we are well-positioned to serve clients that demand comprehensive globally integrated outsourcing solution. To put this into perspective in 2002, our total company revenues were about $1.35 billion. Last year, our top 30 clients alone totaled $1.3 billion of revenue. Please turn to Slide 6 for an overview of total company performance. As Bob mentioned, Q1 2014 was a period of excellent growth. Our 26% revenue increase reflected strong organic growth as well as contributions from our acquisition of Norland. Excluding Norland, consolidated revenues rose 11% or 12% in local currency. Due to the nature of the services provided by Norland, we experienced an aggregate shift in cost classification from operating expenses to cost of services. As a result, cost of services increased as a percentage of revenue, while operating expenses decreased as a percentage of revenue for the quarter. Without the impact of Norland for the regional services businesses, cost of services as a percentage of revenue was essentially flat and operating expenses as a percentage of revenue decreased approximately 60 basis points. In Q1 2014, we benefited from a $16.2 million decline in interest expense largely because of our refinancing activities early last year. Depreciation and amortization expense on a normalized basis rose by $6.9 million. This increase was primarily driven by capital expenditures aimed squarely at strengthening our ability to serve clients. The normalized tax rate for the quarter was 35% and the full year rate is expected to be about the same. Normalized EBITDA in Q1 increased 23% over the prior year quarter. If we excluded Norland normalized EBITDA increased 13%. On a GAAP basis earnings per share rose 82% to $0.20 a share for Q1, after adjusting for selected items EPS increased 56% to $0.25 a share for Q1. Please turn to Slide 7 regarding the Americas. We continue to produce strong growth in the Americas. Overall revenue increased 10% for Q1 or 11% in local currency. Property sales were a big growth catalyst. We are capitalizing on moves we have made to strengthen our team along with the increased capital migration into real estate. This is evidenced by our very strong 38% growth rate in the U.S., partially offset by declines in Canada and Latin America resulting in a 17% first quarter revenue increase overall for the Americas or 19% when measured in local currency. In leasing, our investment in upgrading and expanding our brokerage ranks continues to drive growth. As the global leader, we attract the best in call brokerage professionals. Revenue grew double-digits for the third consecutive quarter, increasing by 10% or 11% in local currency. This growth is noteworthy considering the macroeconomic environment where leasing remains uneven. Finally, Global Corporate Services or GCS and Asset Services revenue rose 9% or 10% in local currency. This increase reflects strong new business wins and contract expansions in GCS during 2013. Please turn to Slide 8 regarding EMEA. EMEA was our fastest growing segment during Q1. The addition of Norland helped to increase revenue by 127%. Norland had a strong quarter generating total revenue of $217 million. However, even without this contribution, EMEA revenue growth was a robust 32%. Property sales surged 61% as compared with overall market growth estimated at 26%. Growth was driven by rebounding investment activity across the continent including in the Netherlands, Poland and Spain as well as continued strength in Germany and the UK. Leasing in EMEA also performed well achieving a 16% increase in revenue. This reflected market share gains when compared to an estimated 6% increase in market volumes across the region. The UK drove this performance. GCS and Asset Services growth was strong, even without the benefit of Norland. Excluding Norland, we achieved 30% revenue growth as we added new clients. Please turn to Slide 9 regarding Asia-Pacific. Our performance in Asia Pacific was strong, especially in light of the tepid macroeconomic environment in the region. Overall, revenue rose 18% in local currency and 8% when translated into U.S. dollars reflecting weaker currencies in the region. Like the Americas and EMEA, we saw significant property sales growth in Asia-Pacific. Sales revenue was up 38% in local currency and 26% in U.S. dollars. Australia, Japan and Singapore were notably strong. This performance compares favorably to market volumes, which were up modestly in Q1. Leasing revenue rose 13% in local currency and 5% in U.S. dollars. The increase was driven by Greater China, India and Japan. We are very pleased with this growth at a time when the regions occupiers, particularly multinationals remain hesitant to expand. Strong growth in GCS and Asset Services was tempered by foreign exchange effects. Overall, revenue growth of 12% in local currency was trimmed to just 1% in U.S. dollars. Outsourcing continues to build momentum as it is increasingly embraced in this part of the world. Please turn to Slide 10 regarding Global Investment Management, 2014 is a transition year for our Global Investment Management business as we pivot from harvesting gains last year to deploying recently raised capital this year. As you know in 2013 we sold nearly $10 billion of assets, exited the management of a private REIT and are currently absorbing lower market fees in Continental Europe as a result, we had lower revenue and EBITDA in the quarter. Our ongoing successful fund raising reflects the underlying strength of the business and the strong investment results we have achieved for our clients. Following $5 billion of capital raised in 2013 we attracted an additional $1.2 billion of new equity in Q1. And only since the end of the quarter have raised approximately $1 billion more of equity. We now have approximately $5.3 billion of equity to deploy. AUM increased for the second straight quarter, rising by $1.1 billion from year end 2013 to $90.2 billion. This increase was driven by property acquisitions of $1 billion, higher portfolio values of $700 million and positive foreign currency movement of $100 million. Property dispositions totaled $700 million for the quarter. Our co-investments in this business totaled $159.8 million at the end of Q1. Please turn to Slide 11, regarding our Development Services business. Revenue for the Development Services segment plus equity earnings and net gains on the disposition of real estate totaled $32 million in Q1 2014, up 34% from Q1 2013. Normalized EBITDA rose significantly from $7.8 million in Q1 of 2013 to $11.6 million for Q1 2014. We completed a major asset sale earlier in the year than expected in Q1 and another major sale originally scheduled for Q2 will likely be delayed until later in the year, as such Q2 EBITDA for this segment is likely to be lower than expected due to timing. Development projects in process totaled $5 billion at quarter end, up $100 million from year end 2013. The inventory of pipeline deals totaled $1.8 billion, up $300 million from year end 2013. Our equity co-investments in the Development Services business totaled $87.6 million at the end of Q1 2014, while our total recourse debt for this business stood at only $7.7 million. Please turn to Slide 12 regarding Global Corporate Services, as Bob mentioned our occupier outsourcing business also known as GCS continues to sustain strong momentum in all three regions. Corporations, healthcare providers, government entities and other institutions are increasingly turning to CBRE for truly integrated real estate solutions. As a result, we are gaining new clients and expanding relationships at an impressive clip. In Q1 2014, we signed outsourcing contracts with 25 new clients and expanded our service offering with 24 existing customers. We are particularly pleased with our growth outside the U.S. as real estate outsourcing increasingly becomes an established global practice. And Norland acquisition dovetails perfectly with this trend. This is a high growth, largely recurring business with long-term contracts and a prestigious sticky customer base. It gives us a best in class capability to self perform building technical engineering for our occupier clients in Europe. Norland exceeded growth targets for its first quarter as part of CBRE, as important this business has also expanded our integrated service offering in EMEA and enhanced cross selling opportunities. In only the first few months of integration, we have brought Norland into several CBRE managed accounts including AT&T, AIG, AON and Travelers. We see tremendous upside for Norland as we do for our entire GCS business around the world. Now please turn to Slide 13 for Bob's closing remarks.
Bob Sulentic: Thank you, Jim. CBRE’s strengths and the results we are generating for our clients were clearly evident in our performance during the opening quarter of 2014. Most of our business lines performed materially better than the market and continue to have good momentum. In particular, property sales were significantly stronger than usual for our first quarter. While we expect this business line to continue to post strong double digit year-over-year increases in all three global regions, we also expect to see these growth rates moderate to more sustainable levels particularly as Europe moves through its early stage recovery and same quarter comparisons become more difficult as the year progresses. In commercial mortgage brokerage, the lower volumes with the GSEs are likely to remain a challenge this year. But as we saw in Q1, we have increased our activity with other capital sources. Leasing for the quarter performed well reflecting the strength of our platform and our professionals and we expect this trend to continue. However, we note that the leasing markets are generally recovering slowly and unevenly around the globe. We expect to sustain strong double-digit growth from our occupier outsourcing business as adoption rates continue to improve and we deepen our market penetration. Norland has added an exciting new dimension to this business in Europe and provides for enhanced growth prospects and long-term contractual revenue. On the principal side of our business for the full year, we continue to expect our investment management and development businesses combined to perform roughly in line with 2013 before taking into account carried interest. As for our performance in Q1 and what it might say about the rest of the year, we expect more upside than downside to our 2014 guidance. As we have often said, the first quarter is a relatively small portion of the year’s earnings and is not an adequate barometer of full year performance. We will face more challenging year-over-year earnings comparison in the quarters ahead. Therefore, at the present time, we are not updating our earnings outlook for full year 2014. All told, we had an excellent first quarter. Continued measured investments in our people and platform and strong performance on behalf of our clients should enable ongoing market share gains and strong long-term growth. Excellent liquidity, cash flow and a conservative balance sheet position us to continue to expand our global leadership position for the benefit of our clients, employees and shareholders. With that, operator, we will open the line for questions. So operator?
Operator: (Operator Instructions) And our first question will be from the line of Anthony Paolone with JPMorgan. Please go ahead.
Anthony Paolone - JPMorgan: Thanks. Good afternoon actually and nice quarter. In terms of investment sales and leasing, things were very strong. Can you talk about just how much of that was perhaps share gain versus the market environment really changing on you and just looking better and what that pipeline might look like right now?
Bob Sulentic: Anthony, this is Bob. We certainly experienced a very positive market on the capital markets side. We do think we took share around the world. In the U.S., we were – we kind of performed with market in terms of market share, but in EMEA and Asia-Pacific on the capital markets or sales side, our growth was significantly higher than market. In the U.S. and in EMEA both, we believe our leasing growth was significantly higher than the market, not good statistics on leasing growth in Asia-Pacific, we had some nice growth ourself 13% in local currency. We believe we outperformed the market, but it’s hard to get good statistics over there on that. But in general, capital markets strong, we performed well, leasing markets sluggish, we felt like we performed well relative to market in both.
Anthony Paolone - JPMorgan: So, the outlook for leasing putting aside share still feels from what you are saying like it hasn’t, like not a big change there in terms of improvements?
Bob Sulentic: We don’t think a big change from what we talked about at year end.
Anthony Paolone - JPMorgan: Okay. And then in terms of spending money on the business, investing in the business, anyway to put some dollars around that in terms of where you are there right now or how much more there maybe to go? I understand there is always something to do, but it seemed like over the course of last year, you had ramped that up a bit. Just want to try to understand where we are right now?
Bob Sulentic: Well, I am going to split that into two pieces. One piece being kind of our operating expenditures in support of running the business on an ongoing basis and then one our capital expenditures, M&A, and so forth. And I will let Jim answer the latter and I will answer the former. But we talked last year about incremental expenditures. We have largely caught up with the things that we felt like we need to catch up on. And now what you are going to see going forward is that we are spending in support of the growth of our business kind of at the rate we think we need to spend on an ongoing basis. And then Jim, you want to hit the capital expenditures?
Jim Groch: Yes, sure, Bob. On CapEx, really I would say same guidance that we gave at year end. We were expecting to be somewhere up to $185 million in CapEx for the year. M&A, Bob you mentioned M&A, M&A is really dependent on the opportunities we continue to be very active, but we haven’t given an estimate on what we expect to spend there. Okay, thanks.
Anthony Paolone - JPMorgan: Okay. And then just on Norland, any ability to note like what return on invested capital looks like or just how that’s coming in relative to the underwriting?
Bob Sulentic: Well, in general, we – and I will let Jim comment on how we underwrite deals, but we have a number of measures that we use that you would consider pretty typical measures, IRR, accretion and so on and so forth. Certainly, that deal met and exceeded those parameters when we underwrote it and the deal – the businesses performed quite well. They had a stronger first quarter than we expected, particularly with the clients, they on-boarded good clients. We were able to introduce them into our existing clients. So, by virtually every measure, that acquisition has performed at or above our expectations. And Jim, you want to just talk about how you think about acquisitions?
Jim Groch: I would probably just echo a little bit of what Bob said. From a return standpoint, we are well in excess – our targets are well in excess of our weighted average cost of capital. And Norland is off to a great start and we expect it to be quite a strong financial deal for our investors.
Anthony Paolone - JPMorgan: Okay. And then just last question for me the $5.3 billion of equity that you have to deploy in investment management, can you just describe the nature of that like for instance is that sponsor fund type money that you would get pointing a quarter on or is that core money that you don’t get anything on until you put it to work and it’s 40 bps or how do we think about that, because it seems like a good pipeline?
Jim Groch: Yes, it’s a bit of a mix of everything, to be honest with you, from around the world. We have not broken out the capital as to what buckets it’s in, but it’s pretty broadly based across most of our businesses, including kind of typical real estate private equity funds at one end and down to core separate accounts at the other end.
Bob Sulentic: I will say there is an interesting dimension to this, Anthony, and that is that we are meeting with increasing success in raising capital to be moved from one region of the world to the other, particularly from Asia, to the other regions of the world both in funds and in separate accounts as Jim said.
Anthony Paolone - JPMorgan: Okay, thank you.
Bob Sulentic: Thank you.
Jim Groch: Thanks, Anthony.
Operator: And next we will go to the line of Brad Burke with Goldman Sachs. Please go ahead.
Brad Burke - Goldman Sachs: Hey, good afternoon guys. Congrats on the quarter. So, realized that you are not updating guidance and realized it’s difficult to extrapolate one, particularly the first quarter and make assumptions about the entire year, but considering what you had said before about the GSEs weighing on Q1 and broker recruits weighing on Q1 and generally EBITDA is 15% of the total in Q1 and you had expected it to be more backend loaded in 2014. I guess, first, I am just trying to understand were the impact from the broker recruits lower than what you had expected? It certainly seems like the GSE impact was lower than what you are initially expecting. And then the second part is it still fair to think that versus that 15% that you are going to be more backend loaded than normal this year or do you think that wouldn’t be the case anymore?
Bob Sulentic: Brad, I would just say, as you noted, the first quarter is a small percentage of the profits for the year typically and it was a very strong first quarter. So it wouldn’t be surprising or that noteworthy if the quarter ended up being a few basis points or a few percentage points higher percentage of income than prior years.
Brad Burke - Goldman Sachs: Okay, that’s helpful. And obviously, you had the CWCapital portfolio, was that a big component of the total in Q1?
Gil Borok: It’s Gil. Brad, it was a single digit million contribution.
Brad Burke - Goldman Sachs: Okay. And then and on Norland, I mean clearly a huge driver of pretty impressive results in EMEA and I think we have previously talked about this business in the context of $700 million maybe a little bit more in revenue and just looking at what the business did in Q1 and assuming a run rate on that, it will put you close to $870 million, so I was just trying to understand for Norland, I mean is that – first, I mean, what’s driving the strong improvement and also is that something that we had to be thinking about as a stabilized run rate for the business?
Bob Sulentic: I would say a couple of things, Q1 for Norland tends to be its strongest quarter.
Brad Burke - Goldman Sachs: Okay.
Bob Sulentic: Just the way they are cycle planned to get a little more project management work in the first quarter within long-term contracts. But it is a more stable quarter-to-quarter business. It’s a little heavier in the first quarter.
Brad Burke - Goldman Sachs: Okay, great. And then, just a last one on the GSEs, certainly we saw the weak GSE originations for the year and it looks like it really wasn’t that much of an issue for you in the first quarter, do you think this is going to become more of an issue if we don’t see an improvement in GSE originations or do you think that going to other sources of capital is something that you can sustain on a go forward basis?
Jim Groch: We did take a hit on that activity as we expected in the first quarter. But as you know we were able to offset that with other sources of capital. I think we would expect to continue to see a bit of a hit in the second quarter. And then after that our best guess is that it shouldn’t be much of an issue.
Brad Burke - Goldman Sachs: Okay, great. I appreciate. Thank you.
Jim Groch: You bet.
Operator: And we will go to the line of Mitch Germain with JMP Securities. Please go ahead.
Mitch Germain - JMP Securities: Good quarter guys. Any other changes Bob to the underlying revenue drivers in the guidance, I know you talked about or you and Jim talked about the mortgage origination and investment management being flat but any other changes of note?
Bob Sulentic: No changes of note, the things that are driving revenue are what we would have expected to drive revenue. Our brokers did a great job. By the way and as it relates to our brokers the one thing nobody has asked us about yet, but last year we talked a lot about brokerage recruiting and having a record year for brokerage recruiting that momentum has continued into this year. So when you think about how the rest of the year is going to play out one of the things that we will have is, we will have the good news of having on boarded more brokers, but we will also have the early cost associated with that additional staff ahead of when the revenue comes on.
Mitch Germain - JMP Securities: Right, I appreciated that. Two of your competitors have talked about acquisition pricing getting a bit frothy, is that consistent with what you are seeing in the market today?
Bob Sulentic: I would say we are seeing a couple of large deals that people are talking about in the marketplace and what’s being quoted sounds quite frothy on the more day to day infill transactions that we are seeing in the market. We don’t see that really, it’s been relatively consistent.
Mitch Germain - JMP Securities: Great. And I think last question for me, what – I know that you have referenced increased penetration of the outsourcing business in Europe and Asia, maybe what was the reluctance maybe initially and what’s really driving the increase in adoption?
Bob Sulentic: It’s a little bit like here only, many years behind and that every time a company does it and they have some success and their peers in the marketplace observe that success, then the peers get more likely to do it. The other thing that happens is as the business picks up momentum and this has been a big issue here in the States. The base of people that are able to deal with outsourcing on the buy side, so in the States over the years the number of corporate real estate executives out there or corporate treasurers or corporate CFOs that would know how to deal with an outsourcing arrangement grows. As those professionals circulate around the industry, that’s starting to happen a little bit in Europe and Asia. And so it’s a build just based on some natural factors as a little bit more is done there is a reason for the next bit of it to be done based on experience and people out there knowing how to do it.
Mitch Germain - JMP Securities: Thank you.
Bob Sulentic: Thank you.
Operator: And we will go to the line of Keane McCarthy with William Blair. Please go ahead.
Keane McCarthy - William Blair: Hi guys. Thanks for taking my question. I mean given the last couple of quarters especially in the EMEA region it appears that it’s turning a corner and we are even hearing things of (indiscernible) of GDP growth in the Western side of the continent, but I was just curious with some of the noise in Central Europe and Eastern Europe if that’s changed any kind of occupier sentiment in the early days of Q2?
Bob Sulentic: It’s certainly changed sentiment in Russia and maybe a little bit of the rest Eastern Europe. It hasn’t had a big impact on our business, because we don’t have a big business in Russia, but it has some impact on sentiment. It hasn’t had a meaningful impact on sentiment throughout the continent.
Keane McCarthy - William Blair: Okay. And then I guess, I mean your property sales have done really well over the last couple of quarters and I was wondering the growth has outpaced the market significantly, but just curious if you could parse that kind of growth into buckets, if there would be the broker additions ramping up or just the capital moving to secondary markets or just kind of in general market tailwinds, just kind of curious where that market share is coming from and if that you guys are just benefitting from the secondary markets more than some others I guess? Thanks.
Bob Sulentic: Yes, it’s a little bit difficult to break it down in that way, but I would say as the market leader, there is a certain amount of critical mass and momentum and when you add to that some infill M&A over time and additional recruiting and then just cross activity between the lines of business, everything has helped us build some market share.
Keane McCarthy - William Blair: Okay, got it. And then just last one for me, you had talked about early days with the Norland as well as the EMEA CB legacy business and the go to market strategy, but I was just curious if you can kind of go in a little more detail as far as how that go to market strategy is progressing. And then how – when you are sitting at the table what clients, maybe legacy CB clients was missing and what they like now with the Norland or vice versa? Thanks.
Bob Sulentic: Well, we had a very clear strategy in pursuing Norland and that strategy was that we wanted to be able to provide the full suite of Global Corporate Services occupier outsourcing capabilities. We knew that we were weak as it related to the delivery of building engineering services. And we knew that was a missing link, it was not allowing us to win some deals and it was not allowing us to do everything we normally do for some of the clients we had. This fit perfectly in that regard and it has played out at least as well as we hoped it would. The Norland team is really quite strong, so when we introduced them to an existing client, an existing CBRE client their reputation is well known in the market and they are quickly received, we ticked off in our opening remarks some of the clients that we have been able to introduce them to. That’s been it – I wouldn’t say it’s been a pleasant surprise, it’s been pleasant. We weren’t all that surprised by it, so it’s worked quite well.
Keane McCarthy - William Blair: Got it. Alright, thanks guys.
Operator: And our final question will come from the line of David Ridley-Lane with Bank of America Merrill Lynch. Please go ahead.
David Ridley-Lane - Bank of America Merrill Lynch: Sure. So I heard your commentary that the principal businesses revenue is expected to be flattish in 2014 excluding carried interest, but would you expect the adjusted EBITDA to be flattish ex-carry or is that a bit too optimistic?
Bob Sulentic: We do expect the adjusted EBITDA ex-carry to be flattish in aggregate between the two.
David Ridley-Lane - Bank of America Merrill Lynch: Okay. And then how durable are those – are the EMEA capital markets trends that you saw in the first quarter, how strong is your pipeline or how positive is investor appetite for that region?
Bob Sulentic: Well, we think the – our pipeline and the marketplace is as you say fairly durable. Now, there is a couple of things going on, some markets like Spain and Ireland are emerging. The biggest market over there of course London, there is concern about whether or not there is going to be enough product to meet the demand and so on and so forth. So, we think there is – it’s a durable situation. It is worth noting that the compares are going to get tougher towards the end of the year, because if you go to last year as you remember the end of last year, the market was dramatically better than it was at the start of last year. So, we are still working off of relatively weak compares first half of this year, those compares will get stronger of course the back half of the year.
David Ridley-Lane - Bank of America Merrill Lynch: Got it. Okay, thank you very much.
Bob Sulentic: Thank you.
Operator: And gentlemen, that is our final question. Please continue.
Bob Sulentic: Okay. Well, thank you everyone for listening in and we will talk to you again in 90 days.